Operator: Good morning. My name is Blair and I will be your conference operator today. At this time, I’d like to welcome everyone to the Eldorado Gold Corporation First Quarter Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remark, there will be a question-and-answer session [Operator Instructions] Thank you. Paul Wright, President and CEO of Eldorado Gold. You may begin.
Paul Wright: Well, thank you, operator. And good morning and thank you all for joining us and welcome to our first quarter 2016 financial and operating results call. I’m joining the teleconference from London, where we have Fabiana Chubbs, Chief Financial Officer; Paul Skayman, Chief Operating Officer; and Krista Muhr, Vice President of Investor Relations, all in Vancouver. As always, we have provided detailed financial and operational information in the press release from yesterday evening. Before I begin, I need to remind you that any projections and objectives included in our discussion today are likely to involve risks which are detailed in our 2015 AIF and in the forward-looking statement disclaimer at the end of the news release. Today, I’ll be changing the format of our call slightly. I’ll not be reviewing any operational and financial highlights, rather I will leave these entirely to Paul and Fabi and the detail is in the press release. I do want, however, to preempt some of your question on China and Greece, while adding some additional color on Eldorado strategy and plans going forward. Late in 2014, we announced that we were evaluating the merits of a potential listing of our Chinese assets on the Hong Kong Stock Exchange. As I stated during the last quarter’s call, we have had numerous approaches by companies looking to acquire these high-quality assets. We announced a few weeks ago that we reached an agreement with China National Gold Group to sell our 82% interest in the Jinfeng mine for US$300 million. This transaction is expected to close in three to four months. As we had previously disclosed, the company actively continues to advance the process of monetizing its remaining Chinese assets, and we’ll update all stakeholders as appropriate. In Greece, we had an eventful start to the first quarter with the announced shutdown of Skouries project due to the permitting challenges we are facing at the time. Skouries was placed into care and maintenance during the quarter, while Olympias completed the Phase I tailings retreatment and continued with the Phase 2 mine development. The installation permit for Olympias Phase 2 was granted on March 22, and Phase 2 construction began early in the second quarter. Our team here is now focused on completing detailed designs for Phase 2, demolition of existing footings and the initial concrete pours are underway. We remain on schedule for commissioning Phase II for early 2017. We received the outstanding building permit for Skouries on February 25, on the back of the Council of State’s positive decision in our favor. I’m pleased to say that on May 9, we also received the approval of the updated technical study. This time, not only the direction of the courts, but through the normal course of permitting. I’m confident that we are now on the right track with the Ministry of Environment and Energy in Greece, as we continue to have more constructive engagement with the Ministry and the technical services group. Our teams in both Canada and Greece are working together to finalize outstanding engineering design necessary to complete construction of Skouries. That said at this point, I do not have the final updated CapEx numbers for you today, nor do I have he updated timeline. Please bear in mind that we only in April just finished the shutdown of the Skouries project. We expect to have updated guidance within the next few months, as we bring our construction teams back to work. Despite ongoing capital spend on growth projects, our balance sheet remains very strong with total liquidity of $611 million, including $236 million in cash and cash equivalents, and $375 million in undrawn lines of credit. Looking at the balance of the year, our mines remain on track to produce between 565,000 and 630,000 ounces of gold at an average cash cost ranging between $585 and $620 per ounce, and all-in sustaining costs between $940 and $980 per ounce. We will continue to advance our development projects in Brazil and Romania, while remaining financially prudent in today’s challenging metal price environment. With that, I will let Paul and Fabi dive into the operations and the financial details or financials in detail. Over to you, Paul?
Paul Skayman: Thanks, Paul. Good morning, everyone. Today, I’d like to comment briefly on the operations for the first quarter of 2016. We produced nearly 141,000 ounces from our operations, including a small contribution from Olympias at 3,300 ounces. Generally, the operations performed reasonably well over the first quarter, mainly performing to budget with the exception of Tanjianshan, which had a slow start to the quarter due to low grade material being mined and removed from stockpile along with slightly low recoveries for this material. To start in Turkey, both Kisladag and Efemcukuru performed well during the quarter with 53,000 and 28,000 ounces, respectively, for the quarter. These were approximately in line with budgeted ounce production and lower cash costs than originally budgeted. Just as a reminder for Kisladag, first quarter is traditionally the slowest quarter, also the guidance for this year is lower than last year’s actual, and last year we were moving gold out of inventory compared to this year when we’ve effectively pulled it down already. In China, Q1 production totaled 58,000 ounces. As previously indicated, Tanjianshan had a slow quarter with lower grade material being treated, lower ounce production and higher costs. Jinfeng had a reasonable quarter doing better than budget on ounce production and costs. And White Mountain was solidly behind on tonnes, but ahead on cost for the quarter. Having said that, we still expect to maintain our original guidance for the year on these assets. On the development side, work continues on the construction of Olympias Phase II. At this stage, structural and mechanical disassembly is complete in the key areas, concrete demolition is well advanced. As Paul indicated, they expect to be commissioning early in 2017. As you’re all be aware, we received approval of the revised technical study just last week for the Skouries project. We would place the project in care and maintenance and used the first quarter of this year to wind down construction in place everything in a safe side. We’ll now work on putting elements of the team back to work to utilize the summer season for important earthworks and building construction. We’re working on updated schedules and capital cost estimates to complete by the open pit and underground places and we’ll have that available in the third quarter. As with any project, there are still some minor routine payments required to complete construction and we’re confident that these will be saved in a timely manner and will not further affect the schedule. Both Certej and Tocantinzinho, we continued with optimization studies during the quarter and at Eastern Dragon, we continue to work with the government on the conversion of the exploration license to the mining license. In March, we received formal notice of the application has been accepted and we’ll continue to update as things progress. During the quarter, we completed 7,500 meters of exploration drilling at the company’s operations and exploration projects in Rumania, Turkey, and China. In Rumania, drilling was conducted at the early stage project located about 20 kilometers northwest of Certej, testing outcropping alterations zones for potential epithermal gold mineralization. In Turkey, we continued testing the Kokarpinar target at the Efemcukuru mine and establishing the continuity of mineralized shoots in the vein system. And White Mountain in China, we completed underground drilling testing stepouts of the North and Far North ore zones encountering several high grade intersections. And with that, I’ll turn it over to Fabi.
Fabiana Chubbs: Thank you, Paul, and good morning, everyone. I will go through the financial statements, highlighting changes and significant accounts. We ended the quarter with cash, cash equivalents and term deposit balance of $236 million, compared to $289 million at the end of 2015. The decrease in cash balance is mainly the result of $25 million generated from operations before change in working capital, net of $60 million usage of cash for capital program. On the income statement, you have a net loss attributable to shareholders of a company of $2.5 million compared to a loss of $8.2 million in the first quarter of 2015. Revenues for the quarter of $164 million and gross profits of $38 million at lower year-over-year due to lower gold sales volumes, which fell 27% and increased cash operating golds per ounce. In comparison with 2015, there were a number of items that partially offset the impact of the fall in gross profit. Foreign exchange movements contributed favorably to the bottom line as the company reported a foreign exchange gain of $3.2 million as compared with a foreign exchange loss of $10.2 million in the first quarter of 2015. General and administrative expenses fell 28%, or $4.7 million as a result of cost cutting measures and foreign currency movements. Those are my comments on the financial statements. I will turn the call back to Paul.
Paul Wright: Thanks, Fabi. Thanks, Paul. Operator, we’ll open up for questions now please.
Operator: [Operator Instructions] The first question comes from the line of John Bridges from JPMorgan. Your line is open.
John Bridges: Good morning, Paul, everybody, and congratulations for results. It’s really great to hear the permit came along. And you may hang for the question, but Perama Hill that one is still stalled, just wondered if there is any sort of read through from this permit to Perama?
Paul Wright: I would say not immediately, John. I mean I think what we have in a bigger picture is, as we have with alignment in terms of what the company’s objectives are or what the society wishes for, and what the government wishes to see in terms of investment. So I would say that we’re certainly in better positioned than we were few months ago as it relates to Perama, but there’s nothing to report on that at this point in time.
John Bridges: Okay, thanks for that. And then I see your – you’re going ahead with the drilling down to Stratoni, and what sort of indication as to you have for that potential mineralization? Do you have a few holes into it or is it totally unknown?
Paul Wright: Paul, do you want to handle this please?
Paul Skayman: Yes, it’s pretty well open. We’ve sort of build up to the edge of that and this continued mineralization, so pretty positive on it just need to get some drill holes in there.
John Bridges: Okay, what’s the resource potential then how far before the geology changes?
Paul Skayman: Well, it doesn’t, yes it doesn’t obviously John, because it’s on the same basic, it’s a same mineralized structure that extends all the way to Piavitsa.
Paul Wright: Yes, my answer is two kilometers Paul, so…
Paul Skayman: Yes.
Paul Wright: Thank you.
John Bridges: Okay, so that was going to go…
Paul Wright: Yes.
John Bridges: Correct.
Paul Wright: Let me – John as we need to get some – we can poke away out from the existing workings, but we need to get a parallel drift out to sort of we have a decent platform to drill from.
John Bridges: Okay, okay understood. Okay, many thanks and well done guys.
Operator: The next question comes from the line of Anita Soni from Credit Suisse. Your line is open.
Anita Soni: Good morning, guys. My question is regard to Kisladag. Just the run of mine works, could you give us the split between the run of mine and the hips should be the crush material that we have?
Paul Skayman: Yes, I don’t know if we have that in front of me Anita. There has been run of mine in the first quarter. I would guess a little over 1 million tonnes, but that’s shooting from the hip a little bit. I’ll give you those exact numbers after the call I guess.
Anita Soni: Sure, and can you just let know whether or not, you guys are continuing on with I think the somewhat original plan, which was about 2 million tonnes of run of mine now that we’ve had run up in gold price and it seems like the – your unit costs are coming in pretty well or did you go back to potentially putting on more run of mine material this year?
Paul Skayman: We haven’t – we budgeted at the beginning of the year to size it right down and we were actually still placing some material on there, but that was scheduled to finish pretty well now. We’re going to have another look at that I guess over the – over this next little while and just reassess that given changing process.
Anita Soni: That’s it or actually master pressure question, what was the strengthening? Yes, like I always got to ask, so what was your step I guess of this year?
Paul Skayman: Yes, Q1 we were – we’re running about one-to-one.
Anita Soni: Okay.
Paul Skayman: And for the whole year, it’s a little bit higher than that at about 1.1, but pretty well on line.
Anita Soni: All right, thank you very much.
Paul Skayman: Thanks.
Operator: [Operator Instructions] The next question comes from the line of Kerry Smith from Haywood Securities. Your line is open.
Kerry Smith: Thanks. Good morning, Paul. Well, I guess good afternoon, Paul and everybody else in Vancouver. I had a couple of questions. One on – just on Greece generally, what’s changed over there to allow the dialog to improve like has there been a change out with some of the bureaucrats and ministry. Hello…?
Paul Wright: Yes, I’m okay. I’m not quite sure where the music came from?
Kerry Smith: It was pleasing, but I don’t know where it came from, it wasn’t mine.
Paul Wright: It’s going to be tricky question, Kerry.
Kerry Smith: Did you – you were able to catch my question Paul or did you get cut?
Paul Wright: Well, look what’s changed, I mean I think number of factors have changed. I mean it’s not – now the dialog is being ongoing I think, and I think over the calls, through the last few years, as we’ve been working through this. I always believe that if there was sufficient engagement that we wouldn’t see, as the government matured, as the government the recognition of the relevance of this investment. And I think certainly, there was no lack of dialogue from ourselves and dialogue frankly from the society whether they would be the unions or the local employees or the local community. And clearly, the government recognizes the importance and relevance of an investment for the country, I would say just it’s a process, and of course, we have to go through.
Kerry Smith: Okay. So there hasn’t been any sort of ton of events where people leaving the Ministry…
Paul Wright: No, no, no.
Kerry Smith: Okay. Okay, and maybe just if I can quickly just kind of an update generally on Eastern Dragon?
Paul Wright: Paul, do you want me to provide this or…?
Paul Skayman: Well, yes, I mean, the – really we’re continuing to work, I mean, pretty well as I indicated continue to work on converting that the EL to the ML, it seems to be moving forward. But it’s pretty hard to sort of pin down exact timing, I guess. We didn’t. I mean, we’ve got feedback that it’s moving forward.
Kerry Smith:
 [:
 ] :
Paul Skayman: It’s probably at the end of June to get enough done. I mean, we’re expecting that ML in the second quarter and hopefully satisfy our requirements before the end of June, but…
Kerry Smith: Okay, gotcha.
Paul Skayman: Yes.
Kerry Smith: Okay. Okay, perfect. Yes, thank you. Thanks very much.
Operator: And there are no further audio questions at this time. I will turn the cal back over to the presenters for closing remarks.
Paul Wright: All right. Well, thank you, operator, and thank you everybody for being on the call, and I look forward to speaking on the next quarter. Thank you.